Operator: Greetings, ladies and gentlemen and welcome to the Compañía de Minas Buenaventura Second Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please note that this call is being recorded. I'd now like to introduce your host for today's call, Mr. Rodrigo Echecopar, Investor Relations. Mr. Echecopar you may begin.
Rodrigo Echecopar: Good morning and welcome everyone. Presenting on the call today is Mr. Victor Gobitz, CEO. Also present and available for your questions are Mr. Leandro Garcia, Vice President and CFO; Mr. Juan Carlos Ortiz, VP of Operations; Raúl Benavides, VP of Business Development; and Alejandro Hermoza, Vice President of Sustainability. As we normally do we will be making certain forward-looking statements during the call. Such statements are based on assumptions of future events that may not prove to be accurate unless such being both risk and uncertainties. It is therefore possible that the actual results may materially differ from any forward-looking statements that we may make today. We lead to you our cautionary statements in the press release we filed on July 25, 2018. With that, I will now turn the call over to Mr. Victor Gobitz. Please go ahead.
Victor Gobitz: Good morning to all and thank you for attending this conference call. We are pleased to present the second quarter of 2018 results of Compañía de Minas Buenaventura. First of all we would like to welcome Juan Carlos Ortiz our new vice-COO. His experience within mining industry, particularly with underground operations will add an important dimension to our team. We have prepared a short PowerPoint presentation, which is available in our website. Before we go further, please take a moment to review the cautionary statement shown here on Slide 2. Moving on to Slide 3, highlights were as follows: In the second quarter, our EBITDA from direct operations was $88.4 million, a 58% increase compared to $56 million reported in the same quarter a year ago. In the second quarter, our adjusted EBITDA, including associated companies reached $191.1 million, a 73% compared to $110.2 million in the second quarter in 2017. In the second quarter, our net income was $41.3 million compared to a negative $6.2 million for the same period in 2017. Buenaventura's net debt-over-EBITDA ratio was reduced to 0.8 times. The company’s de-bottlenecking program is in progress, with results that will be reflected in Tambomayo and El Brocal operations during the second half of this year. At Cerro Verde, a total dividend of $200 million was paid on April 24th and $39 million of which was to Buenaventura. At Yanacocha, Sumitomo Corporation purchased a 5% stake of the company in exchange for a payment of approximately $48 million. Buenaventura’s stake in Yanacocha returned to 43.65%. Moving on to Slide 4, financial highlights. Total revenues in the second quarter were $322.6 million, which is 26% higher in comparison to a year ago. EBITDA from our direct operation was $88.4 million, which is 58% higher in comparison to last year, mainly due to a contribution of Tambomayo operating at full capacity since the beginning of the year. EBITDA including our affiliates was $191.1 million, which is 73% higher in comparison to a year ago. And our net income in the second quarter was $41.3 million compared to negative $6.2 million a year ago. Moving on to Slide 5, we’re showing our strategic map, where we use as usual the capital B from logo of Buenaventura as a visual index for the following slides. Here we would like to point out in the right part of the slide that our ratio of net debt-to-EBITDA has been reduced to 0.8 times. Moving on to Slide 6, attributable products. Total gold equity production in the second quarter was 148,000 ounces, in line with the figure reported a year ago. We have mitigated in some part a reduction in production in the case of La Zanja, which was part of the mining plan; and Orcopampa, where we have decided to prioritize the de-bottlenecking program over production as we’ll explain in the slides 14 and 15, with our new production coming from Tambomayo. Silver equity production for the second quarter was 7 million ounces, which was in line with our figure reported last year. Copper equity production was 30.1 thousand metric tons which is also in line with figures reported last year. Finally, in the second quarter more than 15,000 metric tons of silver produced, 10% higher in comparison to a year ago. This increase was mainly due to Uchucchacua and Tambomayo higher production. Moving on to Slide 7, as you can see that consolidated volumes sold from our direct operations increased in the case of silver and gold, by more volume coming from Tambomayo. In the case of zinc, it’s explained for more volume sold from Uchucchucua and the new contribution coming from Tambomayo. Moving on to Slide 8. The all-in sustaining cost from our direct operations in the second quarter was US$697 per ounce of gold, 14% lower in comparison to a year ago, mainly explained by better results from Tambomayo and Uchucchucua mines. The costs applicable to sales in the second quarter were as follows: For gold, US$797 per ounce which is 1% higher than a year ago. For silver, US$10.23 per ounce, which is 10% lower than a year ago. For zinc, US$0.76 per pound which is 15% lower than a year ago. Finally, in the case of copper the cash cost was US$1.55 per pounds which is 1% lower in comparison to a year ago. Moving to slides 9 and 10, you can see the volume of gold sold and the cost applicable to sales for each of our gold assets. At Orcopampa, cost applicable to sales was $910 per ounce, an increase of 10% in comparison to the second quarter of 2017, mainly due to lower volumes sold. At Yanacocha, the cost applicable to sales in the second quarter was US$833 per ounce, a 26% decrease as compared to the US$1,129 per ounce reported a year ago, mainly due to improvements in the gold mill. Moving on to Slide 11, you can see the volume of silver as well as the cost applicable to sales for each one of our assets that are part of our portfolio. At Uchucchacua, cost applicable to sales was $10.03 per ounce, a decrease of 5% in comparison with the same quarter a year ago, mainly due to increase byproduct contribution, lead and zinc. Moving on to Slide 12, you can see the volume of copper and zinc sold as well as the cost applicable to sales for each of the assets in our portfolio. Moving on to Slide 13, the de-bottlenecking program, which we are implementing in our busiest underground mines, is in progress. The de-bottlenecking program proceeds our means to improve efficiency, reduce costs and also increase our capability for more aggressive mine development and exploration programs in order to increase our life of mine. Results are expected to be seen gradually. For instance, results of additional EBITDA generated will be reflected at the Tambomayo and El Brocal operations during the second half of this year. As you can see, we are providing an updated table with the main projects of this program. At Tambomayo, the processing plant tuning project has been completed during the second quarter of this year. The gold recovery has been increased by 2%, and the ore throughput will be increased from 1,500 metric tons per day to 106,000 -- 1,600 metric tons per day by the end of this year. The effect of the additional gold recovery and/or throughput will add EBITDA in the range of $3 million to $4 million during the second half of the year. At El Brocal, the Esperanza Tunnel Connection is almost completed. As of the third quarter of this year, is working 3,000 tons per day, reducing the hauling cost and increasing the EBITDA in the range of $1 million to $2 million in the second half of this year. On the other hand, the processing plant tuning project at El Brocal has been completed during the second quarter of this year. Right now, between the two processing plants, we have up to 20,000 metric tons per day capacity. The complete effect of this improvement will be seen during 2019. For the second half of this year, the effect will increase the processing capacity from 15.6 thousand metric tons per day to 18.5 thousand metric tons per day. It will increase our EBITDA in the range of $14 million to $16 million in the second half of this year. Moving on to Slide 14. Here you can see an overhead view of the Orcopampa mine. In yellow, you can see the zones where we have decided to centralize the current underground operations, because in these zones, we have well-developed infrastructure, which means hoist, drainage and ventilation systems with high standards that will allow us to operate efficiently. In the same slide, you can see grey dotted lines, zones located around the central part, where we have some restriction that we intend to resolve through our de-bottlenecking program. Moving on to Slides 15, here you can see a cross-section view of the Orcopampa mine. Here also, in yellow, you can see the areas related to the three main vein systems: Prometida, Nazareno and Pucará where we have decided to centralize our underground operations. In grey, you clearly the different areas with limited infrastructure. Moving on to Slide 16, here we are presenting in one snapshot, the maturity of our organic growth portfolio. As you can see, Quecher Main and the expansion of the underground mine Marcapunta are under development. And also you can see three different projects, Rio Seco, Trapiche and San Gabriel are according to pre-feasibility stage. Moving on to Slide 17, Rio Seco. Rio Seco will become a chemical plant with a purpose to remove arsenic content from copper concentrates. Following the metallurgy that Buenaventura has established, we have breaking down the projects into 10 different components for each one you can see its progress. We expect to reach pre-feasibility phase by the last quarter of the year. Moving to Slide 18, Trapiche will become an open-pit copper with -- copper mine producing copper cut-offs in the first stage. Here we have broken down the project into 12 different components and also you can see the progress of each component. We expect to reach pre-feasibility phase by the first quarter of 2019. Moving on to Slide 19, San Gabriel. San Gabriel will become a gold and silver underground mine. Here we expect to reach pre-feasibility phase by the third quarter of 2019. Moving to the Slide 20. Thank you for your attention. I will hand the call back to the operator to open the line for questions. Operator, please go ahead.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions]. Thank you. The first question comes from the line of John Bridges with JP Morgan. Please proceed with your questions.
John Bridges: I just wanted the Rio Seco development. The -- is that related to -- because it’s improving the recovery of that material, you were thinking about this technology I know for Yanacocha, but Yanacocha seems to be more of an underplay situation. Now, that's my first question.
Victor Gobitz: Thank you, John. Yes, let me simply say that it's a project with a concept -- with a purpose to reduce the arsenic content from copper content -- copper concentrate which for example in the case of Marcapunta. But here is Raúl Benavides, he will explain with more details of the project.
Raúl Benavides: Good morning, John. Well, the area in Rio Seco, we have really managed down there and we have the land. We have been piloting the concentrates of [quality silica] and with success. So within that the thing is mature in order to do some atmospheric bleaching of the concentrate so that we can -- we will get copper cut-offs. And we will probably make a plant of 40,000 tons per day -- per year of pure copper. And we had pick up little in Arizona, in Canada with HATCH. So the project is growing.
Victor Gobitz: Yes for us -- let me add. John for us, the Rio Seco project is a boost to increase the value for Marcapunta. By far, as we mentioned in the past, El Brocal, we become 100% copper producer in the future. And this project will boost the value of these assets.
John Bridges: Okay. Could you offer us a little bit more detail on the split of Tajo Norte and Marcapunta throughput through the end of this year and into next year on this changing throughput rates?
Victor Gobitz: Yes. So we have changed this mix. We received a support of our clients and employees. And here Juan Carlos Ortiz our Vice President of Operation will explain the details.
Juan Carlos Ortiz: Hi. Well the split right now is almost 8,000 to 9,000 tons per day coming from the underground mine, main copper production, the Marcapunta ore. And we are right now running at about 13,000 tons per day of polymetallic ore from the Tajo Norte open pit. These two together, we are running the process with two processing plants at an average range above 20,000 per day.
John Bridges: Okay. And that's going to be the same through the end of the year or into 2019, or have you plans to change that as you expand the copper underground?
Juan Carlos Ortiz: We are ramping up the production from the underground mine as we mentioned before in the past. So the ramp up from copper will increase also in the next year particularly. We are still preparing the budget for this year, but the trend is to keep growing the production from the underground mine and try to use the highest capacity of the processing plant and try to get over 20,000 tons per day on average annual basis in these two processing plants.
Victor Gobitz: Yes, let me add just that -- in the -- let met add just that in last quarter we expect to achieve to reach 10,000 tons per day coming from the underground mine.
John Bridges: That’s helpful. Thank you. And then just finally, the San Gabriel, almost was -- as I understand it, was on the point of being developed a couple of years ago and now in your schedule we’re waiting until the end of 2019 for a pre-feasibility study. So, something seems a bit strange there. What’s pushed it backwards? I know you have the issue with the mining method, but I thought I was -- I thought I was well advanced.
Victor Gobitz: Yes, we are working on that, John. As we mentioned, we have established this discipline with metallurgy to analyze and to develop our project. But here also Raúl Benavides will explain with more details where we are.
Raúl Benavides: Yes, John. We -- that we are still struggling with these geotechnical issues. We need to be sure on how to deal with the mining in the San Gabriel. And if you go the page where we chosen San Gabriel, we can see in darker green.
Victor Gobitz: 19.
Raúl Benavides: Page is 19, you can see in the darker green the advance in San Gabriel. Compared to the other projects, this project has not advanced as much as we would like. But the -- we need to have clear answer from the geotechnical issues and we have hired a very confident senior engineer, that is over viewing all this space. And he will have an answer in the next month or so.
John Bridges: Okay. Thanks, Raúl. Thanks, victor. I’ll get out of the way. Thank you.
Victor Gobitz: You’re welcome, John, as usual.
Operator: The next question is from the line of Botir Sharipov with HSBC. Please proceed with your question.
Botir Sharipov: Good afternoon, Victor and the team. A couple of questions from us, following up on John’s question on the Rio Seco plant. It’s nice to see that it’s coming to the TSX level hopefully by the end of the year. Do you guys maybe have an idea at this point by how much your commercial deductions will decline maybe a ballpark at El Brocal, the copper concentrate, given the arsenic content will decline? That’s the first question. And the second one is on Coimolache. If you could maybe give us a color on what the grades were during the quarter? And I know you’re treating some of the Gold Field or at that mine maybe you could also tell us what the grade are going to be going forward and how long you have this agreement with Gold Fields for treating their ore?
Victor Gobitz: Okay. Thank you, Botir. And the first question will be answered by Raúl and the second one by Juan Carlos.
Raúl Benavides: Botir, these only really have a straight number. What these will give us is a leverage to negotiate these concentrates. Today, if you want to sell copper, arsenic concentrate, it’s very difficult. But we have this refinery we would be able to negotiate with the smelters. And we have -- as Victor said, we’re building this as a [showcase] for -- with Marcapunta ores. But we know that we have some copper arsenic in Coimolache and in Yanacocha. So this is kind of more than treatment for all the ores. It will be strategic to generate better conditions for the concentrates.
Victor Gobitz: Yes. Further we call it a booster and the best way to unlock the value behind these copper deposits with higher content of arsenic. So your second question was related to Coimolache and the mix. Juan Carlos will answer it.
Juan Carlos Ortiz: Well, the production for Coimolache mix, as you mentioned, we are bringing more from Gold Fields. We expect to keep running this business for the next three years 2018, ‘19 and ‘20. The grades that we are bringing from Gold Fields are above 1 gram, 1.2 grams, above that in the grades right now. The grade that we’re mining from our own operation at Tantahuatay is about 4.43 grams per ton. That’s pretty much the two sources that make a blend for the quarter of about 0.6 grams per ton of gold.
Botir Sharipov: And then quickly if I could follow-up and I’ll get out of the way. Your CapEx was a pretty low for the quarter. Did you guys offset it by the sale of interest in Yanacocha or I guess what -- why was it so low and what do you guys see it as in the second half?
Victor Gobitz: Yes. I’m trying to understand, Botir. Your question was regarding the -- our guidance in terms of CapEx. If it is really the case, Leandro Garcia will answer it.
Leandro Garcia: In the first -- hi, Botir. In the first semester, we spent $52 million. Our guidance was for the whole year from between $180 million and $220 million. We’re expecting to reach a number close to $160 million. As we mentioned, there’s -- we have a low CapEx foreseeing because of well somehow many reasons. We have budget buying some lands that our negotiations have hold behind. And we’re not going to finish buying those budgeted lands, also there are all -- some permits, I’m getting behind from our -- the ministers and we are falling behind the -- all the paperwork we have to present and all the -- return -- the timetable, it’s longer than we expect. Basically those are the reasons.
Operator: Your next question comes from the line of Carlos De Alba with Morgan Stanley. Please proceed with your question.
Carlos De Alba: So first question or both questions are related to Orcopampa and the reduction in guidance. There was a pretty material reduction to 130, in the midpoint 130,000 tons of – ounces, sorry, of gold for the operation. And so, I mean I heard the comments but maybe Victor, you could elaborate a little bit more us to what led to this sudden change in production or mining plan? And why was it taken now you’re like in the middle of the year? If you could provide more details that will be really useful. And related to this is, how do you see now -- given the first half of the year is done, how do you see the EBITDA guidance that was provided earlier in the year including affiliate, the range opf between $700 million to $800 million? Thank you.
Victor Gobitz: Thank you, Carlos. Yes, clearly that's the key question. So as we -- you know in Buenaventura, we are managing our portfolio and we have to gain advantage that if you see in this portfolio the performance of Tambomayo and the performance that we see in the second semester coming through El Brocal, we have decided to take action in Orcopampa. And instead of dealing with these two different aspects, production and also the de-bottlenecking program, the investment in the improvement of the mining infrastructure, we decided to prioritize the de-bottlenecking program and we explained that in these two slides. And clearly at the bottom-line, because of the results coming from Tambomayo and El Brocal are going very well, we still keep -- we still have the same guidance for the full year.
Carlos De Alba: Okay.
Victor Gobitz: Okay?
Carlos De Alba: Thank you.
Victor Gobitz: You are welcome, Carlos.
Operator: Our next question is from the line of Tanya Jakusconek with Scotiabank. Please proceed with your question.
Tanya Jakusconek: Great. Good afternoon, everybody. I just wanted to follow-up on the CapEx question. So because of the delay in the permits and some of the land acquisitions, you're going to have CapEx this year of $160 million. Is the 182 million to 220 million a good CapEx number going forward let’s say for 2019?
Victor Gobitz: Hi, Tanya. Thank you for your question. Yes, we have change in this guidance. And Leandro will explain that we are in the range of 160 million and 165 million.
Leandro Garcia: Sorry 2018?
Victor Gobitz: ‘18, ‘19?
Tanya Jakusconek: Yes, that's not for ‘18, that.
Victor Gobitz: ‘19. No, for ‘19 this is too early to analyze that, that’s a case of the advance -- the progress in Tambomayo for example Orcopampa and as well in Coimolache.
Tanya Jakusconek: Now, what's the range about sustaining capital for you?
Victor Gobitz: In a range of 150 million.
Tanya Jakusconek: 150 million. Okay.
Victor Gobitz: Yes.
Tanya Jakusconek: Okay. And then can I come back to your de-bottlenecking program? I asked this question last quarter. And we talked about the benefits of the $15 million to $25 million which I think you broke out nicely on Slide 13, the majority of it coming from the processing plant tuning at El Brocal. And you said most in the second half but in -- on the Q1 conference call you said a lot of these will be in Q4. So I am just wondering what the breakdown is for Q4, let's say for the $14 million to $16 million, is the majority in Q4?
Victor Gobitz: No, in that case, we used to analyze the Slide 13 in the case of processing plant tuning. We are taking advantage of these improvements in Tambomayo and also El Brocal. So the second semester where we’ll take advantage of these improvements. And we have calculated these numbers in that range.
Tanya Jakusconek: Yes and now I understand that. So I see $3 million to $4 million of EBITDA contribution from Tambomayo. And I see $14 million to $16 million from El Brocal. But you said all of this in the second half. I'm trying to get an idea of in the second half what's coming in Q3 and what's coming in Q4?
Victor Gobitz: Yes. We have -- also we mentioned in terms in the processing tuning in Tambomayo, we completed this project in the second quarter. So we are taking advantage. These numbers we will see during the second semester, the second half of this year as well as attach rate of El Brocal, we have finished with to repair the ball mill, the biggest ball mill and we are taking advantage of these improvements for the full second half of the year.
Tanya Jakusconek: Yes. So your guidance of $15 million to $25 million of EBITDA improvements for 2018, what -- does $15 million come in Q3 and then the remaining $10 million in Q4? I'm just trying to understand the breakdown.
Juan Carlos Ortiz: Hi Tanya, this is Juan Carlos from operations. Well the split of this $16 million we’ll be using along the next two quarters. There is no ramp-up. We’ve already reached full capacity right now.
Tanya Jakusconek: Okay. So even, okay, thank you. And then my other question comes from the free cash flow. You're generating a lot of free cash flow now given your capital spend was lower in Q1 and Q2, you'll have to ramp-up. But can you talk a little bit about your capital allocation? Is all of this free cash flow going to be allocated to some of your development projects that you've highlighted or are you looking at M&A? So maybe a little bit about your capital allocation or debt repayment maybe, yes, just on capital allocation?
Victor Gobitz: Yeah good question, Tanya. This year we had Board meeting and we have decided to discuss particularly on this topic in the following Board meeting that will take place on October 25th, and probably in the coming conference call on October 25th we'll be able to share our final decision. But clearly we have to balance the financial figures of the company are very robust. And we have to balance probably to increase our dividend, reduce debt and also to take a look of any opportunity in terms of M&A.
Tanya Jakusconek: And can you remind me on your -- yes, no, no, I understand and you're going to be sharing with us that. Obviously internal opportunities, the dividend, reducing debt, M&A. Can you just remind us of your M&A strategy, whether it's still focused in Peru? Whether you're looking at early stage development or producers? Can you just review with us your strategy on M&A?
Victor Gobitz: Yes, right now, kind of our footprint is located in Peru. But we think that we can import -- sorry, export this acknowledge these capability in a region, some places like Chile, Mexico or Colombia. But probably at the moment, we have been more opportunistic. We are not specific program looking for because right now as you seen we have significant organic growth portfolio. But Raúl probably -- Raúl Benavides has noticed that there is some potential piece in business development, he will add some comments.
Tanya Jakusconek: Okay.
Raúl Benavides: Yes, Tanya. We are -- as Victor said, we are -- we have our antenna there and we’re looking for opportunities in Latin America and we keep on sending our geologists to look into opportunities. But our amount of projects in Peru are important and we are focusing our activity in the projects firstly. And secondly, opportunities here in Peru that are coming to us, we are -- we think that we will eventually we have some opportunities to look at. But there is -- we’re really not aggressive in looking to outside of Peru, to put it in sense.
Tanya Jakusconek: And Raúl within Peru, will you look at early stage from exploration all the way to producing assets?
Raúl Benavides: Whatever makes money, Tanya.
Tanya Jakusconek: I like that.
Raúl Benavides: We never discriminate.
Tanya Jakusconek: Alright, I like that. Thank you very much.
Victor Gobitz: Yes. You’re welcome, Tanya.
Operator: [Operator instructions]. The next question is a follow-up from Carlos De Alba with Morgan Stanley. Please proceed with your question.
Carlos De Alba: Right, yes, thank you. Just coming back to the guidance, the EBITDA guidance for the year and then the de-bottlenecking and the changes in Orcopampa. So presumably, the $15 million to $20 million in EBITDA expected to come in 2018 from the de-bottlenecking program were included in the $700 million to $800 million EBITDA guidance provided earlier in the year. So is it then fair to say or to assume that the results in Tambomayo and El Brocal are coming above what you were expecting earlier in the year and that would more than compensate or compensate the reduction in EBITDA from Orcopampa this year, and therefore, you can keep their guidance stay well as it was at the beginning of the year. But it also means that basically we’re not going to see any -- yes, there is no incremental benefit from the better performance in Tambomayo and El Brocal, correct?
Leandro Garcia: Yes, the sole answer is yes. Yes, Carlos. We expect in the second half of the year a significant improvement is coming from Tambomayo and El Brocal. And in our guidance in terms of EBITDA has begun to get these improvements coming from the de-bottlenecking program.
Carlos De Alba: Alright. And so going forward in 2019 and 2020, will we see upside to the $40 million and -- to $50 million EBITDA incremental next year and $65 million to $75 million into summer ‘20 because of this “sacrifice or acceleration or focus on Orcopampa”? Would you be able to -- so basically get back the -- your incremental benefit from the de-bottlenecking that is now being so sacrificing by the changes in Orcopampa or would you stick to the current guidance that you have?
Victor Gobitz: Carlos, it’s too early to discus regarding 2019, 2020. But you have to be sure that we are working in order to create a long-term business plan. And if we have to take -- and we have to -- also we have to take advantage that we manage our portfolio. So we have enough space to deal with. We’ll require more time in the case of Orcopampa in order to create a profitable long-term business case. But trying to set number for 2019 or 2020 is, to be honest, too early.
Operator: Thank you. Our next question is a follow-up from the line of John Bridges with JP Morgan. Please proceed with your question.
John Bridges: Just a follow-up. You mentioned the capital spending was a bit below behind because of delays with permits. Were the permits on the particular projects or just across the board?
Victor Gobitz: It’s across the board, John, but we have some delays in Coimolache, for example. We have some delays also in many exploration programs that are part of our strategy for growth.
John Bridges: So is this something, which has happened recently, because we used the idea that permits are relatively easy and predictable in Peru?
Victor Gobitz: No. Let’s take advantage that our Vice President of Sustainability, Alejandro Hermoza, is here. He will answer and trying to show you that how we deal with these topics.
Alejandro Hermoza: Thank you. Yes. Hi, this is Alejandro. Yes. As you mentioned, this goes across the board. There’s nothing specifically going but just authorities taking some more time. We have to take into account many changes have been gone on different specific ministers, secretaries, due the political context and some delays have been both then on the processes of getting those permits. But we expect to get that solved by the second semester on different projects, specifically on exploration projects.
John Bridges: Excellent. Okay. Many, many thanks and well done with the results. Thank you.
Operator: Thank you. At this time, I will turn the floor back to Victor Gobitz for closing remarks.
Victor Gobitz: Okay. Finally, thank you everyone for joining our call this morning. As a Buenaventura team, we are committed to reach the 2018 targets in terms of profitability and free cash flow generation. In addition, we are developing the full potential of our existing assets, prioritizing its long-term perspective. And in the case of our growth, we are implementing a disciplined process for value generation through a comprehensive methodology to develop our organic growth portfolio. Thank you again and have a great day.
Operator: Thank you. This will conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.